Operator: Good morning, and welcome to Infrastructure and Energy Alternatives Third Quarter 2021 Conference Call. I’d like to note that all participants on today’s call are in a listen-only mode. And with that, I will turn the call over to Kimberly Esterkin, Investor Relations for IEA. Kimberly, please go ahead.
Kimberly Esterkin: Hello, and thank you for joining us today to discuss IEA’s third quarter 2021 financial results. With us from management are JP Roehm, President and Chief Executive Officer; and Pete Moerbeek, Executive Vice President and Chief Financial Officer. Before turning the call over to management, I would like to note that today’s discussion contains forward-looking statements about IEA’s future growth and financial expectations. Any forward-looking statements should be considered in conjunction with the cautionary statements in yesterday’s press release and the risk factors included in the Company’s SEC filings. Except as required by law, IEA undertakes no obligation to update its forward-looking statements after today’s call. Since management will be presenting some non-GAAP financial measurements as references, including adjusted EBITDA, the appropriate GAAP financial reconciliations can be found in the press release issued on November 8, 2021. And with that, I’ll turn the call over to JP Roehm, Chief Executive Officer. Please go ahead, JP.
JP Roehm: Well, thank you, Kimberly, and good morning to everyone. We appreciate you joining our third quarter 2021 earnings conference call. One exciting time to host our earnings call just following the passage of the federal infrastructure bill. That’s certainly something we’ve all been waiting for, and I look forward to discussing what this means for IEA later in today’s call. As those who have been following IEA, know we’ve had a busy start to the third quarter, in which we completed a series of financial transactions that significantly reduced our annual interest expense, increased our liquidity and improved and simplified our capital structure. Today, I’m pleased to announce that in addition to this progress previously made, our Board of Directors has now approved a $25 million warrant repurchase program, which we believe will be a strong benefit to our shareholders by reducing any potential further dilution from the conversion of our public warrants. Turning to the third quarter results. For the second quarter in a row, IEA has achieved record revenues. We followed a $560 million revenue quarter in Q2 ‘21 with a $698 million revenue quarter in Q3 2021 or an increase of 34% compared to last year’s third quarter. At $517 million, our Renewables segment revenue increased by 58% year-over-year and accounted for 74% of our total revenue. Our solar division revenues grew by $35 million from $65 million in Q3 of 2020 to $100 million in Q3 of this year. We started building our solar capabilities at the end of 2019 and are now seeing the results of those efforts. In the quarter, we won multiple solar projects, including a 70-megawatt solar EPC project to install approximately 150,000 solar modules across a 520-acre site in Pike County, Kentucky. Our work scope includes all the engineering and installation of a civil, mechanical and electrical works on the project. We also won two solar projects in Oregon, totaling 200 megawatts. Construction on these two farms began in September with completion anticipated in November of 2022. IEA scope of work includes the full EPC of the solar field as well as the conversion and collection of power to the substation. And lastly, just for quarter-end, we were awarded a 150-megawatt solar farm that will provide clean, affordable energy to Georgia’s Clay County residents. We hope to begin construction yet next month. We also saw progress in wind business during the third quarter. As previously announced, IEA secured a 110-megawatt $49 million utility scale wind construction contract in Huron County, Michigan. Construction of the Deerfield II wind farm will start in Q4 of 2021, and our team is self-performing the entire EPC scope of the project, including the construction of a 41-mile collection system, the installation of 5.5 miles of private access roads and the erection and installation of 21 wind turbine generators. At the end of the quarter, our Renewables segment backlog was at almost $1.8 billion. That’s a 24% increase from one year ago. Let me now comment on the results of our Specialty Civil segment, which accounted for 26% of the quarter’s revenue. At $181 million, the Specialty Civil revenue decreased by 8% compared to last year. While our environmental business revenue almost doubled, revenue of both our heavy civil and rail markets decreased year-over-year due to fewer construction projects and a lower average value of projects. Railcar counts have been down this year, primarily because of the pandemic, and our freight rail customers have limited their spending as a result. I am pleased to note, however, that bidding for rail projects did pick up at the end of the third quarter, and this activity has continued into the fourth quarter. With the passage of the very large infrastructure bill this past weekend, we expect an improved bidding environment for our heavy civil business. Even with the new infrastructure bill, there are still challenges facing the construction industry. These include that of labor, material and equipment inflation as well as supply chain delays. Before turning the call over to Pete, I wanted to discuss these challenges. IEA does have some contractual protections to reduce our financial exposure to project delays and cost escalations. For example, in almost all renewable projects, the owner directly procures the wind turbines or solar panels. So, the owner is responsible for those price escalation and delays. Some owners also directly procure other components such as solar trackers, high-voltage equipment or cabling. In general, our contracts keep inflation risk at the owner’s account until we receive a full notice to receive. Since most renewable projects include mobilization or advanced payments, we generally use these payments to fund material or equipment purchases made immediately at the time we receive the notice. We also have contractual protections in our large long-term environmental project as the contract includes periodic adjustments based on a local cost of living index, and we are paid for actual fuel costs incurred. In other instances, we help reduce the risk for other projects by ordering or purchasing materials at the time of the contract award. While these contractual protections help mitigate much of the material and equipment inflation risk, they are not a perfect hedge, and we have incurred some cost escalation. Similarly, we have also had instances of labor cost inflation. However, to date, that cost has not been material, and we have been able to employ the craft labor that we need to staff our projects. In addition to labor and equipment inflation, construction companies are naturally subject to the impacts of adverse weather conditions and the impact of supply chain delays. These delays make it difficult to properly sequence our construction jobs, creating inefficiencies and eventually increasing cost. It is these inefficiencies that reduced our Renewables segment margins during the third quarter. And unfortunately, based on our discussions with clients and review of the overall market, they are expected to provide challenges for the near future. We are proactively taking measures to mitigate these headwinds whenever possible, and we’ll continue to do so. I can assure you that we are fully focused on these challenges and the efforts needed to improve our margins. As you will note, when Pete gives our adjusted EBITDA guidance, we are lowering the top end to reflect the challenges, but we are remaining within our original range. Even with these challenges, however, I would reemphasize we achieved two record revenue quarters, and so Pete will also note that we are increasing our revenue guidance range for the year. I’ll now turn the call over to Pete to speak about our third quarter financial results. Pete?
Pete Moerbeek: Thanks, JP, and good morning to everyone. Last night, we issued our 2021 third quarter earnings press release and filed our Form 10-Q. Both the earnings release and a November 2021 investor slide presentation that we posted on our website yesterday include a separate table to show the impact of the balance sheet recapitalization transactions that we completed in August, including details on our share count. For the quarter, IEA recorded a net loss of $100 million compared to net income of $11 million for the third quarter of 2020. This quarter included $123 million of expenses associated with our recapitalization and anti-dilution warrants. I will talk about those expenses in a few moments, but I believe that operating income provides a better comparison of the financial results of the two quarters. This year, our quarterly operating income increased by 21.9% from $29.2 million to $35.6 million compared to last year. The supply chain inefficiencies mentioned by JP and the hurricane and tropical storm-related rainfall in Texas and Georgia were the primary reasons for the reduction in our operating income margin percentage from 5.6% of revenue to 5.1% of revenue. Our gross margin showed a similar trend as third quarter gross margin increased by 22.6% from $58.9 million to $72.2 million. But as a percentage of revenue, margin declined from 11.3% in the prior year period to 10.3% this year. The decline was concentrated in the Renewables segment. For the quarter, SG&A expenses increased by $6.9 million compared to last year’s third quarter, primarily from higher overall compensation expenses, travel expenses and information technology expenses. As a percentage of revenue, SG&A expenses declined to 5.2% compared to 5.7% in the prior year period. Some other financial highlights. Interest expense for the quarter totaled $9.4 million, down from $15 million in the third quarter of 2020, primarily from the benefit of the recapitalization transactions. We expect the transactions will provide an annual reduction of $22 million in interest expense. Adjusted EBITDA for the quarter totaled $49.8 million or 7.1% of revenues as compared to $43.1 million or 8.2% of revenues in the third quarter of 2020. In the third quarter, our cash flow from operations totaled $12.6 million compared to $5.8 million in the same period a year ago. At September 30, 2021, our balance sheet showed cash of $158.3 million, and our debt included $300 million of unsecured notes with semiannual interest-only payments at a fixed rate of 6.625%. Other debt consisted of $4.2 million in equipment loans and $52.9 million of finance lease obligations for construction equipment. In August, we entered a new $150 million credit facility. At the end of the quarter, we had outstanding letters of credit of $33.7 million, leaving $116.3 million of availability. When we measure capital expenditures, we take the net of cash purchases and proceeds and add the acquisition of assets through finance leases. Using that definition, capital expenditures for the third quarter were $15.8 million. We ended the quarter with a total backlog of $2.7 billion compared to $1.9 billion at September 30, 2020. Please note that even after reporting record revenue for two successive quarters, our backlog has not decreased as we brought in an equal amount of new business. We expect to recognize approximately $1.7 billion of that backlog amount in the next 12 months. Before turning to guidance, I want to comment briefly about the $123 million charge from the refinancing transactions and anti-dilution warrants. Included in that amount are cash payments of $47.3 million as a make-whole premium for the Series B preferred stock and $5.1 million for transaction expenses. The make-whole amount is significantly less than the dividend payments that we would have had to make had we not redeemed the Series B preferred almost four years early. The $123 million amount also includes a noncash $53.7 million charge to write-off the deferred fees and discounts related to both, the Series B preferred and the previous term loan. These expenses would have been recognized over the next few years. The last part of the total expense is a noncash charge for the fair value of the potential 2.6 million anti-dilution shares that may be issued at the time the publicly traded merger warrants are exercised. To determine a fair value of these anti-dilution shares, we engaged a third-party valuation firm, which determined that the fair value of the warrants and shares at the end of the quarter was $7.27 per share. More detail about the calculations is found in footnote 5 of the Form 10-Q that we filed yesterday evening. We recorded a fair value charge of $18.5 million to record the liability. For the next five quarters, we will need to adjust that liability and record the change in our income statement to reflect the changes in the fair value of these anti-dilution warrants. As JP mentioned, our Board of Directors has authorized us to spend up to $25 million to buy back the public warrants, which trade under the symbol IEAWW. Two warrants are needed to purchase a share of IEA common stock for $11.50 per share at any time prior to the expiration of the warrants on March 26, 2023. The buyback program will begin on November 11, 2021, and will expire on March 26, 2023. Finally, to guidance. After two record revenue quarters, we are increasing our 2021 full year revenue range to $2.0 billion to $2.1 billion, up from $1.8 billion to $1.95 billion that we guided previously. We are also narrowing our full year 2021 guidance for adjusted EBITDA to range from $130 million to $135 million as compared to the previous $130 million to $140 million. As JP mentioned, this change is the direct result of the supply chain challenges that we faced in the third quarter and are facing in the fourth quarter. Thank you for all your time, and I hope that Junior family have a wonderful holiday season. I will now turn the call back to JP.
JP Roehm: Well, thank you very much for that, Pete. The North American energy transition is on the cusp of accelerating from already high levels, providing ample room for IEA to grow substantially in the future. While current conditions, particularly supply chain issues remain top of mind, our bidding activity continues at very high levels. And the long-term prospects for renewable construction continues to improve. Within solar are the preferred source of all new generation here in the United States and currently are the lowest cost forms of new power generation. While the November 2021 investor presentation posted on our website provides a more detailed explanation of our growth prospects, I want to briefly highlight some of our opportunities during my remarks today. Beginning with wind, Wood Mackenzie ranks the United States second for new wind capacity among the top 20 wind power markets globally and third, for the top repowering market from now through 2030. With a federal goal of 100% clean energy production domestically, the Department of Energy, along with state and local governments, are doubling down on their efforts to deploy wind energy. Solar is on an upward trend and is expected to see a 20% year-over-year revenue growth in 2021, the largest annual growth for the industry since 2016 when the industry was substantially smaller. Importantly, utility PV, a market where IEA is building a leading position, is anticipated to add 132 gigawatts over the next five years. The Solar Energy Industries Association, SEIA, is advocating that 30% of U.S. electricity generation should be provided by solar farms in 2030, up from prior goals of 20% of electricity generation. Key drivers of their increased expectations include the competitive economics of solar versus nonrenewable forms of energy, a significant increase in corporate offtakers to meet ESG goals, as well as state renewable portfolio standards, some of which call for more stringent clean energy and emissions reduction goals than that of the federal government. At present, 28 states and Washington, D.C. have renewable or clean energy requirements. The EPC services that IEA provides represents between 28% and 32% on average of the cost of utility-scale wind and solar project. That means IEA will be one of the larger recipients of the billions of dollars that will be invested in new renewables energy generation. As the project owners typically procure wind turbines and solar panels for the projects, we do not have any of the technological risk, nor significant CapEx in any projects while we’re able to benefit from the growth of the renewables industry. Of course, owners and independent power producers will only contract for the construction of a renewable project if they have some certainty of the overall cost of the project. In addition to the inflation and supply chain issues that we have discussed, there are two other near-term uncertainties that may affect the start date of renewable projects. The first is that regulatory and tariff issues may result in a slowdown in the owner’s ability to procure solar panels. While the current tariffs on solar panels are set to expire on February 6, 2022, the Biden administration has said that it will announce a decision by the end of November as to whether it will extend these tariffs. In addition, the Department of Commerce is also scheduled to announce at the end of this month a decision on an antidumping and countervailing petition that would severely limit the import of Chinese solar panels coming from Southeast Asian countries. The second uncertainty is the potential for the extended PTC and ITC credits. The currently proposed Build Back Better legislation extends the ITC, which applies to solar projects through 2032 and the PTC, which applies to wind projects through 2031. With these extensions, Wood Mackenzie is increasing their expectations for wind production capacity from its original base outlook by 44% between now and 2030. Their expectations for utility scale solar are even better, up by 52%. The Wood Mackenzie forecast for overall utility scale solar installations expects that if the currently proposed Build Back Better legislation were adopted, in 2030, installations will be 4 times larger than they were in 2020. While the legislation status has not yet decided, there is broad support for the additional tax benefits for renewable projects. Beyond renewables, the Specialty Civil side of our business, including environmental work continues to provide growth opportunities. Particularly in the Southeastern United States, federal and state requirements to clean up unwind coal ash ponds to mitigate environmental risk will require significant investment over the next 10 to 15 years. Over the last decade, the U.S. has shut down or announced plans to retire more than 65% of its coal power plants. There remains about 241 existing coal-fired power plants in the United States, and the expectation is that many will be decommissioned or demolished over the next 20 to 30 years. Last year, nearly 9.2 gigawatts of coal were retired with expectations of additional retirement of 3.2 gigawatts this year. The coal ash opportunity is in its early stages with less than 20% of existing impoundment and landfills remediated to date. We are in discussions with several clients on potential full ash pond remediation projects. Our expertise in coal ash removal will certainly be a benefit to our business. I will end this discussion where we began. The passage of the Bipartisan Infrastructure Bill. In areas relevant to IEA over the next five years, this legislation provides for more than $110 billion in increased highway funding, $66 billion in passenger and freight rail upgrades, and $73 billion in electrical grid upgrades, and billions of dollars dedicated to many other areas of public infrastructure. With support at the federal government and across state and local communities, we see a very strong runway ahead of our business. While it will certainly take some time before the federal infrastructure bill sees an impact on our revenues, we look forward to continuing to share our progress along the way. This concludes our prepared remarks for today. Thank you for joining us this morning for our third quarter call. Operator, would you please open the call up to questions?
Operator: Thank you.  Our first question is from Adam Thalhimer with Thompson Davis.
Adam Thalhimer: I wanted to start actually on the S-3 that you guys filed last night. I had some questions from clients related to the timing of that. Can you give us some details there?
Pete Moerbeek: Sure, Adam. This is Pete. We filed the S-3 because it was a requirement when we did the transactions that we file an S-3 within 90 days. The S-3 basically registered all the shares that Ares procured at the time of the transactions. The way that some of the tractions were structured is that Ares would not own more than 32% of the active outstanding shares, which is exactly what they do. They own right at 15.3 million shares. They also own about 4.3 million of warrants. Those warrants take their total ownership up to real close to 36%, but the 4% difference are shares that they cannot vote except in certain cases. So, Ares is restricted from selling any shares for 12 months from the transactions. And this was just part of the original transaction. So, there’s nothing unique in why we filed the S-3 at this point.
Adam Thalhimer: Okay. Thanks for clearing that up. And then, JP, I wanted to press you a little bit on the bidding and renewables and your thoughts on where the backlog might end up at the end of this year?
JP Roehm: Well, obviously, I mean, we’re very happy where the backlog is at currently. Our bidding environment is very strong. Every week, I personally get a list of our bid calendar. And I can tell you that it’s kind of a return to kind of pre-pandemic levels. So, bidding is strong. We already have a strong backlog, but we’re continuing to see strong opportunities out in the ‘22 and beyond.
Adam Thalhimer: Okay. And then, the supply chain issues, they’re pretty well advertised for solar. I’m just curious if you’re seeing supply chain issues on the wind side?
JP Roehm: I’d say we’re seeing supply chain issues in almost area -- almost other -- almost every area of the business and -- or in resource portions of the business. For instance, just trying to find parts for construction equipment, trying to find construction equipment, period, rental equipment or just plain old construction material. We’re finding many, many different materials from pipe to other pretty common construction materials that were once on hand or pretty readily on hand, we’re having to send literally trucks across the country to pick up what was once a local order before. We’re also -- another thing that we’re seeing is the tremendous escalation in shipping costs, both domestic and foreign. In one area of our business, we’re seeing shipping costs across the ocean 4 to 5 times greater than what they were 6 to 12 months ago.
Adam Thalhimer: Nobody has a crystal ball, but do you see that dying down for the 2022 construction season, some of these challenges?
JP Roehm: I mean everybody sits in these seats like Pete and I and everybody is doing these calls in the E&C industry are sitting here thinking the same thing. And we’re getting our crystal ball out. We’re trying to what’s going to be transitory out of these inflationary and supply chain effects and what’s going to be a new normal. We hope that most of it will return to normal. But obviously, some of the escalations, particularly in labor, will continue. So, as we -- and just to get ahead of the question, if it comes out, we’re obviously -- we didn’t release anything on ‘22 in this call and don’t and aren’t prepared to. I think like all of our peers in the industry, we’re sitting here and trying to gauge what ‘22 looks like, given this environment that we’re in.
Operator: Our next question is from Noelle Dilts with Stifel. Please proceed.
Noelle Dilts: Of course, I am going to ask a question about ‘22, sort of. But when I look at your fourth quarter margins, they’re -- implied in guidance, they’re still pretty good, maybe 80 to 100 basis points below what we were looking for and kind of same with the third quarter, some impacts but not tremendous. I mean, when we look into 2022, should we kind of think about that same type of level of impacts relative to some of the longer term margin targets you’ve looked at or you’ve talked about for renewables? I guess, the bigger picture question or the broader question is just how should we think about quantifying the drag that you’re seeing from some of the sequencing delays and the impact on productivity? And how should we think about that persisting into 2022? Thanks.
JP Roehm: Well, I think it’s going to persist for the near term. And again, back to the previous question, I wish we had a crystal ball. I think, we hope by mid-’22 that some of those effects start to subside. But they are -- sitting here today, they’re still very well alive and apparent. And so, it would be difficult for me to say otherwise that things are going to change in the immediate near term.
Noelle Dilts: And then, I guess, the other question is when you look at some of the new contracts that are coming up for the new projects for bid, are you seeing improved pricing to account or higher labor costs and to some -- maybe some of these inefficiencies, or is the market not quite there yet?
JP Roehm: Well, we do the best to -- we get this question a lot, right? What can you price on? How do you revise your pricing? I can tell you what our process is. Our -- every month -- as a part of our monthly and quarterly close process, not only is operations heavily involved in that, but all our preconstruction and bidding and estimating teams are involved in that process. And the effects that we’re seeing and the escalation that we’re seeing is all that date is coming in real time to our estimating department. And I think as we’ve talked about before in previous calls, we try to -- as we go forward, try to bid to the current environment. So, what I’m trying to say is that we’re passing that information along certainly internally and trying to propose with kind of the latest market data on our newest bid opportunities.
Operator: Our next question is from Zane Karimi with D.A. Davidson. Please proceed.
Zane Karimi: First off, can you provide us an update on the wind maintenance business? Your objectives for the team you’ve added from I think with GE, and how that’s performing to date?
JP Roehm: Yes. Good question. I would just reiterate my previous remarks from previous calls about their first year performances and expectations. We’ve not cut out with anything publicly separate for that business unit. So, I’ve stopped short of releasing any kind of data. But what I’ll tell you from management’s perspective, they’ve certainly met their expectations of management in 2021. And we certainly continue to believe in the plan that we put together for that business in ‘22 and forward. So, we’re very happy with the progress. I think we’re still continuing well somewhere between 150 and 200 technicians in that group now. So, it’s scaling up quite nicely.
Zane Karimi: Got you. Thank you for that. I know you talked about it a little bit today. But along the coal ash remediation side of things, it’s unique and it’s a growing opportunity for you. And I think we kind of understand the long-term implications, but how can we think about the trajectory of the business in the next few years?
JP Roehm: Well, I think from what we see in our pipeline of opportunities, there’s certainly a plethora of opportunities over the next couple of years. I think that the issue that our self or anybody else in that business always has to balances, in many of these states, you don’t get regulatory assistance in these kind of costs. So obviously, in those kind of -- even though this is a federal policy driven, it’s not a revenue producer for the utility. So, many of those unfortunately delay or kick the can down the road or more, more than I think any of us in this industry would like. But that being said, I think -- I think there is plenty of opportunity for us and those in the industry to continue to grow our business manageably over the next couple of years.
Operator: We have reached the end of our question-and-answer session. I would like to turn the conference back over to JP Roehm for closing comments.
JP Roehm: Well, thank you, operator. And we thank each and every one of you that’s joined us for our Q3 quarterly call. We look forward to having all of you join us again in early March as we report on Q4 and year-end. So, thank you all. Have a very safe and joyous holiday season. And we’ll see you all again in March. Thank you.
Operator: Thank you. This does conclude today’s conference. You may disconnect your lines at this time. And thank you for your participation.